Operator: Greetings, and welcome to the Document Security Systems' Third Quarter 2013 Financial Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now pleasure to introduce your host, Peter Salkowski, Investor Relations for Document Security Systems. Thank you, Mr. Salkowski, you may now begin.
Peter Salkowski: Thank you. Good afternoon and I would like to thank everyone for joining us today for the Document Security Systems' third quarter 2013 earnings conference call. Joining me on today's call are Chairman, Robert Fagenson, CEO, Jeff Ronaldi, COO, Peter Hardigan, President, Bob Bzdick, and CFO, Phil Jones. Following management's prepared remarks, we'll open the call for questions. This afternoon, Document Security Systems issued a press release announcing its third quarter 2013 financial results. That press release is available on the company's website at www.dsssecure.com. Before management begins, I'd like to review the company's Safe Harbor statement. Forward-looking statements on this call including, without limitation, statements related to the company's plans, strategies, objectives, expectations, potential value, intentions and the adequacy of resources are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act and contain words such as "believes", "anticipates", "expects", "plans", "intends" and similar words and phrases. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from the results projected. In addition to the factors specifically noted in the forward-looking statements, other important factors, risks and uncertainties that could result in those differences include, but are not limited to, those disclosed in the "Risk Factors" section of the company's Quarterly Report on Form 10-Q for the quarter ended September 30, 2013, to be filed with the Securities and Exchange Commission. Forward-looking statements made as part of this call are being made as of today November 13, 2013, and the company assumes no obligation to update the forward-looking statements, or to update the reasons why actual results could differ from those projections in the forward-looking statements. During the call today management will discuss adjusted EBITDA. In the company's press release issued today and in the company's filings with the SEC, you will find additional disclosures regarding the non-GAAP financial measure and the reconciliations of net loss to adjusted EBITDA. I would now like to turn the call over to Robert Fagenson, Chairman of Document Security Systems. Robert?
Robert Fagenson: Thank you, Peter, and good afternoon everyone. Thank you for being with us for the call. I apologize I'm not hardly well with sinusitis extremely limited, it's the first connection I've had with day and a half, and I'll probably lose it soon. You're going to hear a story today about our third quarter for our management, but more importantly, as knowing about a company that was deep in the middle of its transition as the two arms of Document Security, our classic businesses and our new technology division which came out of our merger with Lexington Technology starts to gel together. There are as a result, different forces pushing on the company at this time than we had that in the past. I’ve had a conversation with many of you about disappointing action of our stock price and the best I can tell you is simply this. Management is staying in the course in terms of moving this company forward. I believe the story you'll hear today is one of the success in our divisions and further optimism as we move forward towards the complete integration and move into the combined company. So I will turn it over to Phil Jones who will fill you on the actual financials and I hope to be available at the end for questions-and-answers if there any for me and if not I apologize. Phil?
Phil Jones: Thank you, Robert. Today, we announced third quarter financial results for Document Security Systems, which are summarized in the press release we published after market closed today. As shown in the press release, we have collapsed our revenue lines into two types, Printed Products and Technology Sales, Services and Licensing. These classifications reflect our new business structure as a result of our merger with Lexington Technology Group, which closed on July 1, 2013 the first day of the third quarter. In August, we changed the name of Lexington Technology Group to DSS Technology Management to reflect its position in the DSS Group of Companies. Printed Products included the results from our Packaging, Plastics, and Printing business units, the Technology Sales, Services and Licensing results, which I will refer to as Technology in most of my prepared remarks include results from the DSS Digital Group and DSS Technology Management, which are engaged in various aspects of developing, acquiring, selling and licensing technology assets. For the third quarter, revenue increased 2% year-over-year to approximately $4.25 million. Printed Product revenue was essentially flat while Technology revenue increased approximately 14%. The year-over-year increase in Technology revenue primarily reflects the addition of revenue generated by our DSS Technology Management subsidiary. This new revenue was partially offset by a 27% year-over-year decrease of Technology hardware sales and cloud-based technology services revenue from our DSS Digital Group, as that group continues to concentrate on the development and commercialization of the AuthentiGuard product suite. Total gross profit for the third quarter of 2013 was $1.6 million, a 6% increase over the third quarter of 2012. Total gross profit margin was 38%. The increase in third quarter gross profit was primarily due to a 31% increase in the gross profit from Technology revenue, which benefited from an increase in revenue resulting from the litigation settlements received by DSS Technology Management. In the third quarter of 2013, total operating expenses increased $1.7 million to $4.3 million, primarily due to the $1.5 million year-over-year increase in non-cash tangible amortization and impairment expense. The $970,000 year-over-year increase in non-cash amortization expense in the third quarter is due to the substantial increase in intangible assets on the balance sheet resulting from the merger that closed at the beginning of the quarter. The higher operating expenses resulted in a $1.7 million year-over-year increase in loss before income taxes of $2.7 million for the third quarter of 2013. Net income for the third quarter was approximately $6.5 million or $0.15 per basic and diluted share, which compares to a net loss of $1.1 million or $0.05 per basic and diluted share in the third quarter of 2012. A one-time deferred income tax benefit of approximately $9.2 million impacted this third quarter of 2013 results. This non-cash tax benefit is related to our recently closed merger and a reversal of deferred tax valuation allowances that have been carried by DSS. As in the past we believe adjusted EBITDA is a good measure of the company's performance. Adjusted EBITDA is defined as earnings before interest, taxes, depreciation, amortization, stock-based compensation and other non-recurring items, including the merger-related professional fees, stock-based compensation and tax benefits. Adjusted EBITDA for the third quarter of 2013 was a loss of $556,000 versus a loss of $61,000 in the year earlier period. The increase in adjusted EBITDA loss reflects the increased cost associated with DSS Technology Management including compensation costs and professional fees associated with ongoing litigation and the due diligence associated with the ongoing evaluations and acquisitions of additional IP. Once again, adjusted EBITDA is a non-GAAP measure of performance. Please refer to the table included in our earnings release from today for a reconciliation of our GAAP net income to adjusted EBITDA. Moving to the balance sheet. As of September 30, 2013, the company had cash of approximately $3.2 million. During the quarter we used $2.5 million to acquire several new patents and patents rights. Jeff will provide additional details regarding these acquisitions in a few minutes. In addition, you will see significant changes to our balance sheet resulting from the merger of Lexington Technology Group. This has resulted in significant increases in the company's investments, intangible assets, goodwill, and deferred tax liability based on business combination accounting. The details of the impact of the business combination accounting is detailed in our third quarter 10-Q to be filed with the SEC, so I will not go into details on this call. That said we believe it is safe to say that the balance sheet now reflects the combined strength of the two businesses. With that, I will turn the call over to Bob Bzdick for a few comments. Bob?
Bob Bzdick: Thank you, Phil. In Q3, we had several positive developments in our Digital and Printed Products divisions. On today's call I will discuss the advances we made in AuthentiGuard in the Digital division followed by an update on our Printed Products operations. During the quarter, we announced that MedTech Wristbands, a provider of ID and access control solutions signed a three-year contract to employ AuthentiSuite Technologies. MedTech will use AuthentiGuard to provide authentication of an event check-in, management of VIP areas and more, also the use of the smartphone application. This agreement is structured with a licensing fee for the use of our software accompanied by royalty fees based on usage. MedTech is our first contract incorporated in our AuthentiSuite offerings. We see this as an important milestone for DSS and are excited about working with MedTech over the next several years. In alignment with our focus of counterfeiting and product diversion issues in the pharmaceutical industry, DSS recently announced a partnership with the National Association of Drug Diversion Investigators, also known as a NADDI. Through the partnership NADDI members will have access to AuthentiSuite and have the ability the ability to use AuthentiSuite to verify websites for prescription drug purchases. NADDI has over 2,000 members above the law enforcement, regulation and manufacturing. Some of the largest pharmaceutical companies such as Pfizer and Abbot, as well as drugstore chain such as Walgreens, maintaining NADDI corporate memberships. With the enormously high safety and financial re-precautions associated with drug diversion we believe that multiple AuthentiSuite solutions are valuable for the NAADI membership companies. AuthentiSuite offers a covert marking systems that resists counterfeiters primary duplication processes in addition to many other -- in contrast to many other products in the marketplace our smooth smartphone authentication solutions did not have expensive readers, special materials, or additional manufacturing processes as a consumables. In addition, the entire smartphone application can be used to monitor and managed easily in the real time through the cloud DSS supplied portal. We see the partnership with NADDI as an excellent opportunity to build and strengthen our relationship in the pharmaceutical industry. Adding to this momentum, last week we announced the partnership with Brides Magazine the Conde Nast Publication. Brides has partnered with DSS to offer AuthentiSite technology to its advertisers and retailers. AuthentiSite allows consumers to independently verify that a website is an authorized or licensed recently. We look at AuthentiSite prior to making a purchase online the consumer uses a smartphone to read the mark on the computer screen. The mark is verified in real time through the cloud with the brand owner's database. While consumer gets peace of mind that he or she is accessing an authentic site, the system could also be configured the report scanned back to the brand owner to assist with investigations of fraudulent websites. As part of the Brides Against Counterfeiting Campaign, DSS has integrated this technology into the Brides Wedding Genius app which will allow consumers and investigators to validate the authenticity of websites. We believe DSS's partnership with Brides Magazine is a strong foothold in the retail space and that it will expose DSS AuthentiSuite Solutions to many other companies in the specialty fashion retail industry. We expect that as consumers become aware of this technology more brand owners will protect their customers with the name brands by incorporating multiple AuthentiSuite technologies. These developments clearly demonstrate the value of DSS's investments in our digital division. These three agreements MedTech, NADDI, and Brides, would not have been impossible without the digital delivery and cloud-based management system DSS has developed over the last 18 months. While we anticipate the need for ongoing R&D investments, we expect to see notable growth in revenues associated with our investments in the digital division. We tie everything together during the quarter we launched AuthentiGuard.com with a series of the central showcase for brand owners to learn about our products that comprise the AuthentiGuard suite. Moving to Printed Products. During the quarter we initiated plans of combining our Printing and Packaging facilities. Our refurbished items progresses being is solved as we speak and moving plans are well underway. In line with our goal of improving the profitability of the Printing Products business we expect to begin realizing efficiencies in cost savings in 2014. We remain focused on aligning these business operations so that they generate a reliable stream of profitable revenues. I would now like to turn the call over to Jeff Ronaldi.
Jeff Ronaldi: Thank you, Bob. I will now follow Bob's update on the Printed Products and Digital division with an update on our third division DSS Technology Management. In the third quarter we had several developments in Tech Management, which demonstrates that management has executed on many of the milestones we discussed at the time of the merger. Thus far, in the third quarter we closed on two additional IT investments for a total of $2.5 million. To elaborate, in July we purchased two patents for $500,000 that cover methods and processes related to Bluetooth devices. In September, we purchased 10 patents for $2 million that relate to the methods and processes in the semiconductor industry. In conjunction with these patent purchases, the company received over $1 million in external commitments from co-investors. These co-investors are consistent with strategy discussed on our last earnings call of aligning with outside investors who have dual interest in IT investment. These outside investors clearly demonstrate confidence in DSS's ability to appropriately manage and monetize the acquired assets. We consider the Bluetooth and semiconductor investments valuable because of the synergies with our existing operations. We believe that the Bluetooth patent has potential for commercialization. We have already started to integrate hardware and peripherals and the DSS's R&D and Digital platform with the goal of developing dedicated devices that run AuthentiSuite. In addition, we believe that both investments bring IT, which DSS Technology Management can consider for IT monetization. Regarding the VirtualAgility and Bascom portfolios during the quarter we announced that the initial calendar has been established for the VirtualAgility pace. The Markman was set for April 2, 2014; in addition the Bascom Research Markman was set for February 26, 2014. As a reminder since the merger with Lexington Technology Group, DSS Management has established several priority areas. We believe success in these areas will trade positive growth in our business. In the third quarter we made great progress in several of these areas. First, we are focused on generating revenue from AuthentiGuard. And I'm pleased that the three year agreement with MedTech will result in AuthentiGuard revenue contribution in 2013. Secondly, we are working towards improving our profitability of our Printed Products business segment. As Bob mentioned, we are implementing our plans to consolidate our Printing and Packaging operations into one location. We believe that this consolidation will improve operational efficiencies and generate cost savings ultimately increasing profitability as measured by adjusted EBITDA. As we progress towards improving the profitability of Printing and Packaging operations, we plan to focus our future investments in areas of our business that have the highest potential for generating the highest return on investment. Thirdly, Technology Management's recent acquisition of two IT portfolios meets our goals of making additional investments by the end of the year. In addition to diversifying our IT portfolio, management believes that these IT acquisitions have high growth and potential for high return. We expect to continue to diligently increase our IT investments overtime. In the fourth quarter and into 2014 we'll focus on leveraging this momentum. For the Digital operations, we plan on leveraging the partnership with NADDI and Brides to seek new revenue opportunities. Speaking to our partnership with Brides and its retailers its estimated counterfeiters across the Bridal industry millions of dollars with the newer clients reporting 600,000 fake wedding dresses are purchased online each year. We believe DSS's Solutions are very well suited for brands in this market. Meanwhile we were focused on managing the Printed Products Group for further consolidation and profitability. Cash in this group will be used to fund the higher growth area of our businesses. In DSS Technology Management, we are focused on integrating our two most recent investments into DSS Digital and thinking possible means of commercialization as well as exploring IT monetization. We will continue to monitor the Bascom and VirtualAgility investments for the upcoming Markman hearings in early 2014. Overall we made strong progress towards our goals in relatively short period of time and look forward to updating an investment community on further developments. I'll now open up the call to questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Bob Wasserman with Dawson James. Please proceed with your question.
Bob Wasserman - Dawson James: Hey guys thanks for taking the question, congratulations on that guidance and quarter. Could you I know you mentioned a little bit about MedTech but may be could you give us some more color on the three areas in the legacy business and when those revenues might start kicking in -- might start accruing over the next couple of years?
Jeff Ronaldi: The base revenue that started in the fourth quarter in this year that's for the basic software. The royalty revenue will probably start in later fourth quarter and first quarter and that department is based on usage as they introduce it to their clients. We get basically a clip charge for every Wristband that is present with our technology and then we have a back service for anything where there is a special reports and so forth that need to be developed for any specific event that we paid a developed royalty for those events. So I see those things obviously ramping our business as the three years go on and they get a bigger protocol in the event management portion of the business. This is a fairly new area down there one of the largest Wristband companies in the world and they're assuming a natural progression within the guidance on the event management program. So we will be growing longer with them at this point. So we're really helping them to develop this program and we have already got several events lined up.
Bob Wasserman - Dawson James: It sounds like then it's pretty high margins really the only cost of revenues would be staffing development for these base revenues?
Jeff Ronaldi: That's correct. Our primary work with them gives them three various scenarios in which the levels of service think and provide the client. Each one of those obviously drive revenue to DSS based on the number of people who attend the event. So once those levels are established which we have done, as I say in those events up the flow through would be much the same formulation as any licensing fee were being paid for the technology that we got to bear as much as anything else.
Bob Wasserman - Dawson James: And another question and more related to the patent side. You mentioned that you paid two investments -- two separate purchases in the third quarter and that you also got $1 million in outside events for those, was that investment made in that parent company or made in both of those acquisitions in different manners or maybe you collaborate a little bit on where that cash went?
Jeff Ronaldi: Sure. Just to be clear there is two separate investments, one covering the Bluetooth technology, one covering the semiconductor classification process. The particular money in this case came in as a co-investment under the Bluetooth scenario.
Bob Wasserman - Dawson James: So they were -- they purchased a certain percentage in that portfolio?
Jeff Ronaldi: Yes.
Bob Wasserman - Dawson James: So that's a separate subsidiary or it's more of a profit-sharing arrangement?
Jeff Ronaldi: It's a contractual right for proceeds arrangement. So they have no ownership.
Bob Wasserman - Dawson James: But you were able to take -- so that cash came into that parent company or subsidiary as a whole?
Jeff Ronaldi: Yes. So it came into the company and the idea behind having co-investors is to allow us to make investments and control risk in such a way to offset some of our risk to other investors frankly. We have the capability to identify, manage, and execute on various monetization programs and there has been appetite for investors who want to investor directly in the IT. So an investment directly in IT allows us to -- like I said, offset the risk and these investors have no liquidation capability they're stocking this for the long-term and will drive result as we create them in monetization programs.
Bob Wasserman - Dawson James: Will there be more disclosed on it in the 10-Q and when will that be coming out?
Phil Jones: Yes, hi this is Phil. And I just wanted one clarification so the amount is a $1 million in commitments of which approximately $350,000 was received during the third quarter and that's being held up as a deferred revenue item on the balance sheet. So the $1 million commitment will be delivered to the company as certain milestones on that. The 10-Q is being filed as we speak we expect it to be filed hopefully this afternoon.
Operator: Thank you. Our next question comes from the line of Mark Argento with Lake Street Capital Markets. Please proceed with your question.
Mark Argento - Lake Street Capital Markets: Talking a little bit more about the co-investments. So can you just talk a little bit about how the deal structured basically do they have a certain economic interest and any proceeds generated, any licensing revenues generated from that portfolio or how does the structure work?
Jeff Ronaldi: They are a co-investor and they're investing not only in the IT but also in the rollout of the new product and they will share in any profits that we make based on their investments first what we put in. So it looks and feels much like a JV without any stock or ownership sharing developed contractual.
Mark Argento - Lake Street Capital Markets: So this is both for the commercialization but also for potential monetization and any proactive litigation. Do they have any -- do they have to put up any -- is there any capital call provision if they have to spend more money on a portfolio, the monetizer and how does that work?
Jeff Ronaldi: The agreement has anticipated all the cash needs, which is why the -- as Phil described, there is a commitment for an amount in excess of $1 million but not been needed at the current moment. So when it's needed we're allowed to call on it.
Mark Argento - Lake Street Capital Markets: And the use of these types of deals going forward is this a vehicle or a way that to fund the business and get where you want to be in terms of the technology without sustaining dilution or how do you guys think about capital?
Jeff Ronaldi: That -- that the strategy that we're currently employing is about building a good diverse portfolio of IT assets that we can commercialize and monetize if it's necessary, and this is a way to conserve cash while our stock price is down. As every new opportunity comes we will evaluate what is the cheapest cost of our capital. And currently, it's the use of our private funding to fund these types of acquisition. In the future, it's up in the air, it's -- some of these guys are pretty aggressive about offering funds and some of the deals were pretty good. So as long as we continue to find high quality patent assets and we have a desire by third parties to fund them at terms that are reasonable we would continually consider doing at.
Mark Argento - Lake Street Capital Markets: And in terms of the portfolios that you guys acquired this quarter, they seen any licenses or are there any licensing activity in those portfolios already or are those kind of merged in portfolios?
Jeff Ronaldi: All of them have had some licensing associated with it. I cannot get into details of it, because they were done prior to our ownership.
Mark Argento - Lake Street Capital Markets: And do any of them have any pending litigations already that was out there before you acquired them?
Jeff Ronaldi: None of them have been part of any litigation yet.
Mark Argento - Lake Street Capital Markets: And then shifting gears to the Bascom and VirtualAgility you mentioned you have Markman in let's say Q1/Q2 of next year. Any additional opportunities to get some suites on the file in the meantime and some against any potentially other infringers there or how do you thinking about kind of the next wave of monetization with those portfolios?
Jeff Ronaldi: Yes unfortunately we will not be able to comment about any pending or future targets. It doesn't make sense to do in this format. What I will say that we continually monitor what assets we own and look at see what's the best use of those assets are.
Mark Argento - Lake Street Capital Markets: So basically there are -- what I'm trying to get of course I'm not asking you for specific answers. You guys see the opportunity for potentially more targets out there is not kind of what we have is in the extent of the opportunity I guess is what I'm trying to get at?
Jeff Ronaldi: Yes, I understand the question. I'm trying to be as forthright as I possibly can.
Mark Argento - Lake Street Capital Markets: Well I'm going to -- I'll answer it for you. I'll say yes but what I'm sure about I think I believe its inline there so. I think that's it from me. Thank you.
Operator: Thank you. Our next question comes from the line of Yun Kim with Janney Capital Markets. Please proceed with your question.
Yun Kim - Janney Capital Markets: Congratulations on adding two new patents this past quarter, you're definitely making progress on your strategy there. You talked about the commercialization of those assets are already underway. Is there any way that you could talk about how long that process would take before we can see some measurable returns on those investments you made and do you anticipate making additional investments to commercialize these IT assets?
Jeff Ronaldi: I believe the question was, are we going to make money on these investments and through commercialization and our monetization program if that was the question; the answer is yes to both. Our first step we will be using this type of technology in the various businesses or various products that we offer and very much like what was asked about the Bascom portfolio, we will monitor the value of potential licensing campaign as we move forward.
Phil Jones: Yes, to jump in on the commercialization front these patents don't have only one application they're going to enable us to develop products in two different areas. In the Bluetooth area there is some applicability in the legacy extra dove client base with some specific needs that have been identified there. We anticipate that there are going to be some near-term sales of product there. And then on the AuthentiGuard side this is a little bit more of a complicated or long-term let's say development process where we anticipate working with specific client needs and commercialization there is going to be dependent on those responses from those clients, and then on some other factors that relate to how we want to introduce the product in the new product cycle. So the answer is yes definitely there is not one shot on goal with either of these technologies and we plan to continually reinvest in R&D and in the commercialization effort for assets that we acquire.
Yun Kim - Janney Capital Markets: So when someone told at first you talked about does that require you to investing more to commercialize those assets down the road?
Jeff Ronaldi: We will make investments where we believe that we have an ROI to commercialize it. So yes.
Yun Kim - Janney Capital Markets: Okay.
Jeff Ronaldi: So if it's over the hurdle rate for development in that area as you could appreciate something in the production part of our business and the hurdle rate is down pretty low something in fast growing part of our business the hurdle rate is pretty high. So this is something in the typical more or like the high growth area and we expect these things to have a reasonable return on required capital.
Yun Kim - Janney Capital Markets: And then again just talking about two acquisition -- two patent portfolios acquired in the quarter when you are seeking outside investors do they require you to fund greater in terms of the purchase so that you carry on enough risk, so that both you guys and the outside investors are sharing enough risk with the plans that you have what are some of the feedbacks that you're getting from when you're approaching these outside investors for co-investing?
Jeff Ronaldi: Right. Each investor has its own requirement; some prefer that we have a share drift; some has actually expressed the desire to fund our deals than actually eliminate our risk altogether. And again it's an opportunity basis we evaluate each individual opportunity both for the lowest cost of the capital and move forward with that. So not every investment require that we have equal money in some have where the investors have significantly more and then we do.
Bob Bzdick: I guess one note there is we're talking about multiple investments so some perspective things that we're sort of getting into. We receive a lot of interest from private investors and I think Jeff has done a great job with the rest of the team of selecting the best capital.
Yun Kim - Janney Capital Markets: I don't want to make things too complicated but is there an opportunity to may be create a fund for multiple outside investors to buy into and using that fund for multiple acquisitions rather than kind of seeking outside investors for each one of these patents?
Jeff Ronaldi: That's not one we've considered at this point.
Yun Kim - Janney Capital Markets: And then just switching gear to the AuthentiGuard side of the business. Congratulations on the MedTech deal. I know you guys haven't disclosed the terms of the contract but is there a way to get a sense on whether it was an upfront license deal or is it some sort of a recurring revenue type of base deal based on usage or volume?
Bob Bzdick: As I mentioned there is -- there was a set of fee that is being paid over the first year and then the rest of it is licensing fee going forward.
Yun Kim - Janney Capital Markets: And then on the Bride Magazine and NADDI partnership can you just outline the monetization strategy behind those partnership. Is it simply like the opportunity around the deployment of those your solution into those organization or is it something that you could actually try to sell it to the members and partners of those organizations?
Bob Bzdick: Both of those are a little different. The NADDI relationship is primarily one that they are serving as a introductory capacity where they are promoting our technologies to their members and allowing us to actually make presentations at their conferences. And therefore we will drive revenue as we are able to develop interest with the first step sometimes the hardest step is to get in front of the right people and being recommended by an organization such as NADDI is a big shamiana for us. So we did a interested year and a directed year that people that make decisions within these brand owners. In the Bride situation what we've agreed to do is to allow for beta testing for any of the advertisers that signup for the special promotion of 90 days and after that they will pre-design our ongoing licensing agreement. So it's kind of a try as you like it type program proof-of-concept with a after 90 day period a licensing agreement.
Yun Kim - Janney Capital Markets: That's very clear. Hey Phil just a high level question around cash. What is the company's -- how do you expect the cash flow to trend over the next 12 months? Is there any big cash related events that we can expect over the next 12 months?
Phil Jones: Yeah we're certainly comfortable with our cash on hand at the present time. Our cash flows will likely mirror our recent cash flow operational cash flow. As Jeff mentioned before the investment strategy will be dependent on third-party capital for the most part in the near-term. So I don't anticipate significant changes. I will say that typically the Printed products both especially the Packaging Group had its strongest quarter in the fourth quarter and that translates into cash flow in late fourth quarter early first quarter, so we'll see that trend again as well.
Operator: There are no further questions at this time. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.